Operator: Good day, and welcome to the Federal Signal Corporation Third Quarter Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Brian Cooper, Senior Vice President and Chief Financial Officer. You may begin.
Brian Cooper: Thank you. Good morning and welcome to Federal Signal's third quarter 2014 conference call. I'm Brian Cooper, the Company's Chief Financial Officer. Also with me on this call are Dennis Martin, President and Chief Executive Officer; and Jennifer Sherman, our Chief Operating Officer. We'll refer to some presentation slides today, as well as to the news release, which we issued this morning. The slides can be followed online by going to our Web site, federalsignal.com, clicking on the Investor Call icon and signing into the webcast. We've also posted the slide presentation and the news release under the Investor tab on our Web site. Before we begin, I'd like to remind you that some of our comments made today may contain forward-looking statements that are subject to the Safe Harbor language found in today's news release and in Federal Signal's filings with the Securities and Exchange Commission. These documents are available on our Web site. Our presentation also contains some measures that are not in accordance with U.S. Generally Accepted Accounting Principles. In our news release and filings, we reconcile these non-GAAP measures to GAAP measures. In addition, we will file our Form 10-Q later today. I'm going to start by addressing our financial results, then Dennis will provide his perspective on our performance and Jennifer will comment on some of our operations and outlook. Our consolidated financial results for the third quarter show a continuation of the positive trends in recent quarter’s solid growth in revenue, extending margins and robust orders and backlog. Consolidated operating income was $24.9 million which represents a 32% improvement versus Q3 last year. Sales were 5% higher with exceptional growth in our environmental solutions group being offset by deferrals in our Fire Rescue Group which resulted in low sales there during the quarter. Consolidated operating margin rose 11.4% versus 9.0% a year ago; it was also up sequentially versus the 10.2% operating margin that we reported in Q2 this year. Interest expense was $0.9 million down from $1.5 million last year, and adjusted net income from continuing operations for Q3 was $15.3 million or $0.24 per share. As most of you know last year we released valuation allowance against differed income taxes, excluding the effects of that change, our adjusted EPS last year was $0.18 per share and this year’s $0.24 per share represents a 33% improvement. We also continue to see strong order growth with consolidated orders of $225 million in the quarter up 14% versus last year. Demand was strong for municipal and government markets as well as from industrial markets. With the strength in municipal our revenue mix ranged approximately 60% for municipal and government markets and 40% from industrial markets. Within that industrial piece about 9% of our orders now relate to the oil and gas industry. Strong companywide order flow contributed to a very healthy backlog level of $353 million which is 23% higher versus a year ago. From a Group perspective ESG continued its run of excellent results. Orders were 25% ahead of last year and back log rose to a very healthy $212 million, sales in the third quarter increased by 19% compared to last year due $134 million. The increase reflects strong demand in both municipal and industrial markets for our street sweepers, sewer cleaners and hydro-excavators as well as increased production throughput in our manufacturing facilities. Leveraging those sales operating income was up 78% to $21.5 million and operating margin increased to 16% up 530 basis points versus last year. SSG also produced an excellent quarter, orders were up 10% and sales rose by 4%. Operating income in the quarter increased by 34% versus the prior year to $9.4 million and operating margin improved to 15.7%. As a huge step up from Q3 of last year and sequentially from last quarter which were both 12.2%. Sales of Fire Rescue Group during the quarter were low, at $25.5 million down 34% on lower unit volumes and FRG again reported a nominal operating loss. Orders were down 21% reflecting differences in timing versus last year. Year-to-date orders are up 14% over 2013 and backlog remains excellent at $101 million. We’re confident that demand remains strong for our aerial lift products. In addition we believe that we had successfully executed on the recovery plan at FRG, setting up FRG for a very strong fourth quarter and for steadier profitability into the future. Corporate operating expenses were $5.8 million, up compared to $3.6 million last year. The increase primarily reflects higher incentive and stock compensation expense, which has resulted from the Company’s strong performance. Income from continuing operations reflects the operating income which I just reviewed plus the effects of interest expense, some foreign exchange effects and income taxes. Interest expense remains low reflecting low interest rates in our declining debt balances. Income tax expense for the quarter was $8.5 million compared with $0.5 million a year ago. Tax expense last year was low as a result of benefits from valuation allowance on deferred tax assets. For Q3 this year the effective tax rate is almost 36%, we expect our effective tax rate for the full year excluding discrete items to be between 32% and 33%, this is slightly higher than we had been anticipating as a result of our continuing profit momentum and higher tax rate jurisdictions. And the rate for Q3 reflects some catch up to the expected annual tax rate. Please note that from a cash perspective we pay little income tax in the U.S. where our income continues to be offset by use of deferred tax assets, consisting of net operating loss carry forwards and tax credit carry forwards. On this GAAP basis we therefore earned $0.24 per share from continuing operations in Q3 compared with $0.26 per share in Q3 last year. We had no significant unusual adjustment items this year; to facilitate earnings comparisons we’ve been adjusting for unusual items recorded last year, including restructuring activity, debt settlement charges and income taxes. Income tax expense included in our adjusted earnings per share for 2013, therefore reflecting normalized effective tax rate of about 32% which excludes the effects of unusual tax items most notably valuation allowance effects. On this basis our adjusted EPS for the quarter was $0.24 compared to $0.18 per share in Q3 a year ago. Looking at the balance sheet and cash flow, cash generated by continuing operations was $2.9 million during Q3 compared to $26.4 million in the third quarter a year ago. Year-to-date we’ve generated $44.6 million compared to $37.3 million last year. With this cash flow Company was able to pay down debt and add to cash balances during the quarter. The Company’s total debt balance was $69 million compared to $92 million at the end of 2013, and our net debt dropped to only $40 million. Our leverage ratio of debt to adjusted EBITDA continued to improve as well dropping to 0.7 times that compares to 1.1 times at December 31st and 1.7 times a year ago. The Company funded dividends of $1.9 million and share repurchases of $3.4 million during the third quarter. Last night we also announced a new Board authorization of up to $75 million for the repurchase of Federal Signal’s shares. Combined with availability under the authorization announced earlier in the year we now have total availability of $83 million under our share repurchase plans which is just under 10% of our current market cap. We put this new plan in place to help manage our capital structure given our very strong cash flow and already low debt levels. We believe there maybe opportunities to return some value to shareholders via repurchases while at the same time investing in our growth opportunities and funding dividends. Dennis will talk more about our growth opportunities in his remarks. This next slide provides a breakout of our global sales which we feel maybe helpful in assessing the impacts from changes in foreign exchange rates. This is approximate and can vary from quarter-to-quarter. We also included some related commentary in our earnings news release. What this shows you that about 35% of our total sales the blue slices are delivered outside the U.S., 15% of our sales shown in light blue are made from the U.S. to other parts of the world. Those sales are pretty much exclusively denominated in U.S. dollars. The dollar value has not changed directly when exchange rates change. We also believe that those sales generally remain competitive at similar margins when the dollar strengthens. Almost all of our sales that are produced outside the U.S. are denominated in the currency where the product is made, as represented by the 20%in darker blue. The margin percentage earned on such sales does not change when exchange rates change. Therefore foreign exchange movements can directly affect the U.S. dollar value of about 20% of our sales the dark blue slice and the translation of profits from that 20%. There has been about an 8% strengthening of the dollar which probably approximates with what we have seen recently. We estimate there should be a very small reduction in our operating income of about 1%. That concludes my overview of the numbers and I’d like to turn the call over to Dennis.
Dennis Martin: Thanks Brian. I think that covers our results pretty thoroughly. Our consolidated results have been strong all year and we have excellent momentum building in our businesses, supported by growing orders and healthy backlogs. We’re also proud of the steady improvement in our operating margins, while we have not seen good results in the last few quarters from FRG our Bronto Skylift business, its future prospects also look very good. And I am looking forward to a solid fourth quarter from all three business groups. Looking a little further ahead, I would like to talk about some of our growth opportunities and how we’re moving to capitalize on them. I have said before that we are fortunate to have many internal opportunities. Some are straight forward as adding production lines at Vactor and Elgin and along with the same lines we’re exploring opportunities to expand our facility in Alabama and we have expanded our Jetstream facility. These expansions allow us to address areas where rapidly growing demand has taxed our capacity and to enter some markets that are newer to us with better products. At the same time we’ve been aggressively investing in our sales forces to support our industrial growth strategy and to drive demand at both SSG and ESG. We have added sales people with good experience and expertise in industrial markets where we really want to grow. We’ve also added a new global sales manager at Bronto. We have supported these other investments with hands on research and one example this year sending a cross functional team with engineering and marketing expertise to visit about 60 end users and a variety of utility markets which are still relatively new to us. We did this to learn how they use our equipment and what they need in order to do their jobs effectively. These efforts are leading us to design new products for their requirements, innovate new tools and expand offerings of necessary products. Another way that we’re attacking our growth opportunity is to move more quickly and decisively. We have challenged our teams to respond more quickly to new market opportunity. In this area I think about how we spent an additional $1 million on engineering work across our businesses this year in order to expedite new product development. We have also added a new FS Solution Center in North Dakota, which has kicked off extremely well. The new center provides service to oil industry users of our hydro-excavation and our vacuum truck products, where we already have a leading market share. This helps us to develop our repeat business and our service offerings. It also helps us to better anticipate new trends, needs and improvements for our existing products. Similarly, we have enhanced our Bronto distribution network in North America, which we expect to help us capture industrial growth opportunities for Bronto. We are fast tracking new global product offerings for Jetstream and SSG and we’ll capitalize on channels that we already have. They are also helping us to expand more effectively in the global market. We also have added new engineers and refocused our talent. Again with the intent to be more timely, nimble and responsive to customer needs. There are accelerated new product development activities underway in all of our businesses. These internal growth investments also help us focus on potential acquisitions. We have defined our goals for M&A to be primarily tuck-in acquisitions that build on or complement our core competencies. Specific areas of interest would include the ability to leverage distribution and channels with additional products, asses adjacent markets or expand our geographic reach. Just as important we are committed to disciplined acquisition and integration process. We are working with our business teams to help identify targets that maybe attractive to us, so that we can proactively approach them. Of course we also respond to opportunities that are proposed to us. Over the last five months or past five quarters or so we have filtered something over 100 ideas that have advanced through a variety of stages, about half have gotten some close scrutiny, the handful have persuaded fairly far in the process and from our work to this point we believe that there are relevant and profitable opportunities for acquisition, we are working to find the right ones. These growth opportunities are the main focus for the use of our capital, organic opportunities are our highest priority and we believe that acquisitions can provide a strong complement to them. Of course we also remain committed to a healthy dividend policy. And after those priorities we believe that we will still be able to repurchase shares as a way to return value to shareholders and to manage our capital structure. Our robust cash flow should allow us to execute share repurchases without impacting our ability to invest in internal and external growth opportunities. Now I am pleased to turn the call over to Jennifer.
Jennifer Sherman: Thank you, Dennis. Like many companies Federal Signal at this time of year reassess its strategies and sets operating plans for our next fiscal year. We are in the middle of that process, so it is still too early for us to comment on our 2015 expectations. However, it is not too early to revisit our longer term strategies and goals including our four main initiatives. Dennis just talked about creating disciplined growth with organic investments and focused acquisitions. We feel that our opportunities translate to revenue growth above U.S. GMP. We also focus efforts to leverage our invested capital, this leverage is evident in our results over the last two years and we continue to pursue it with our internal growth initiatives and our flexible manufacturing model. Innovation of new products and services focuses on expanding opportunities in end markets like utilities and oil and gas and expansion of targeted global opportunities should help us to grow faster in industrial markets and continue to diversify our customer base. And of course we have relentless focus on improving our efficiencies and cost structure and continuing to optimize our municipal and governmental oriented businesses. As we consider these initiatives, our progress and momentum and the opportunities we face, we have reset our longer term financial goals. Over our planning horizon we are aiming to; one, grow consolidated revenue faster than GMP while increasing share from industrial markets; second, continually improve return on invested capital; third, improve consolidated operating margin to 12%; and fourth, consistently grow earnings per share at a percentage rate in the low to mid-teens. With these goals in mind, we are optimistic about 2015. On our last call, I spoke at length about the recovery plan that we put in place at Bronto including a significant investment in capital equipment which should increase productivity over the longer term. I am pleased to report that we have successfully executed against the plan and we believe FRG Bronto’s fourth quarter will be the best quarter it has had in recent years. In the near-term our continuing momentum, our strong backlog and the recovery of Bronto give us better visibility into the fourth quarter. We therefore raised our outlook for 2014 adjusted EPS from a range of $0.83 to $0.87 per share to a new range of $0.87 to $0.91 per share. This compares to $0.67 per share in 2013. Since we’re at $0.62 per share year-to-date, this updated outlook translates to a range of $0.25 to $0.29 per share for the fourth quarter. With that I think we’re ready to open the line for questions. Operator.
Operator: Thank you. (Operator Instructions). And we’ll go to our first question from Steve Barger with KeyBanc Capital Markets.
Ken Newman - KeyBanc Capital Markets: It's actually Ken Newman on for Steve this morning. You talked about solid market demand. Just curious, can you give more color on the muni budgets? And is this pent-up demand driven by underinvestment or did actual fleet grow due to stronger tax base and a change of view on budget risk?
Dennis Martin: I think what we’ve seen merely is some release of a little bit of the pent-up demand that existed, but it seems to be steady demand because of the better health of the municipals. Primarily on the sweepers and the vacuum truck side, we’ve seen good activity on the police side but it’s not accelerated dramatically as we get fairly good documentation from the [Polk] Association, produces police cars registered in a year. So police activity is about the same but we’re seeing more on the environmental side.
Ken Newman - KeyBanc Capital Markets: And you’re focused on operational efficiencies are clearly working. So what are you looking to next drive incremental margin expansion? Is there anything in the distribution model you can optimize or further supply chain initiatives you can talk about?
Dennis Martin: On the distribution side the thing that’s going to drive beyond the operational excellence activities are the increases in the sales forces we’ve made. We’ve significantly increased the sales force in our SSG, safety side and on our ESG direct side, serving the industrial contractors also in our Bronto side. So our investments in the operating side continue, we still have some good leverage there but we also have gone in the front end of the business now and begun to add new products. On the longer term midterm to longer term we have a good number of brand new products that will hit the market midyear next year by midyear and along with additional sales folks the new products we think will also stimulate the activity.
Ken Newman - KeyBanc Capital Markets: Those new products, just as a follow up are those across all the segments? Or is that primarily on the Bronto side or for SSG?
Dennis Martin: Really all the segments are working on new product development, primarily Bronto has been introducing new models this year and will continue into next year, the SSG team on the industrial safety side, we’ve police new fire products this year. So it’s pretty well spread across the business and our efforts on adding engineering development time and resources was really across the company.
Ken Newman - KeyBanc Capital Markets: And then just one more if I could. ESG margin was really good this quarter and in the second quarter it’s 16% or better. Has mix been a big factor in the last couple of quarters or is this a sustainable margin for the near-term?
Dennis Martin: I think it’s been sustained for two quarters and mix is clearly a big part of it. I think if we have another quarter of this obviously we were seeing better impact of all the efficiencies, but I would say it’s still an exceptional quarter for us.
Operator: And we’ll go to our next question from Walter Liptak with Global Hunter.
Walter Liptak - Global Hunter: Yes, especially the margins in ESG look terrific. But I want to ask about what's embedded, Jennifer in the guidance for fourth quarter in the FRG business, realizing that it's probably a little bit tough to model for us, just because we don't know how much extra cost was in this quarter and how much is coming out next quarter, what the fourth quarter production in your sales levels are? I wonder if you can give us some more color on that?
Jennifer Sherman: I talked at length on the July call about the recovery plan that we put in place; we’ve been monitoring our progress versus that plan. We believe that we talked about some low margin units. We believe most of those units have been produced. In addition we talked about some production inefficiencies as a result of investment and some capital improvements, those capital improvements are completed and we expect to see improved productivity over the longer term. In light of all that and our success against the recovery plan we expect to have a strong fourth quarter at Bronto, and we believe it will be the strongest quarter they have had in years. So that was an important of the guidance moving forward. In addition we have as we mentioned good visibility not only in Bronto’s backlog but into ESGs backlog.
Walter Liptak - Global Hunter: Can you quantify the third quarter inefficiencies that we’re going through Bronto?
Dennis Martin: I think you look at Bronto there was a net loss minor, so the inefficiency is really well, we just didn’t get product up the door along with some of the conversion things that we did. Look last year and year before, we’re running at a more normal run rate of 6% operating income. And so we would expect that we should be able to get back to that level. And once we pass some of the production hang ups which we think were passed or closed, then we should see a more normal run rate.
Brian Cooper: We expect the fourth quarter to be a bit of a catch up period also. So it will be a very good quarter for Bronto.
Walter Liptak - Global Hunter: But kind of on the production side of it, are there other trucks that we’re waiting to ship? Or what is the production level look like?
Dennis Martin: We have a typical fourth quarter run rate plan for Bronto in terms of production. We had some machines slip over from the third quarter to the fourth quarter. So it will be a strong quarter for us because we’ve got lot of machines that have already been shipped in the quarter. So it's progressing the way we would expect. There is always one or two on the bubble.
Brian Cooper: And it’s probably more completions in the fourth quarter than we would typically have, but because they have been in process.
Jennifer Sherman: It will be a heavier quarter than normal.
Walter Liptak - Global Hunter: And then if I can switch gears to SSG. It's nice to hear that municipal is picking up in the U.S., I think just kind of what we've all been waiting for. But wondered about the international orders and, it's something you've got some and ship some just recently. What does the pipeline look like? Does the drop in energy prices have an impact on any of the business in the Middle East or in North America?
Dennis Martin: Jennifer will talk little bit about SSG; but in terms of the international orders that we’re getting we don’t think that they come and go sporadically over a year, but we don’t think that the drop in oil price will affect the orders that get internationally.
Jennifer Sherman: On the municipal side of SSG, I mean we’re starting to see modest recovery and our police orders are up. On the industrial system side, we have a very strong pipeline with respect to our international orders and we expect that to continue through the fourth quarter and into next year.
Walter Liptak - Global Hunter: And then I wonder if you could just help us with this last one. You've got some international sales, just kind of generally I think most of those are Bronto, with Europe slowing down. What percentage of sales or other products outside of Bronto and do you have to take any steps you have to maintain margins if Europe goes into the recession?
Dennis Martin: Walter if you look at our business in the U.S. shipments the export, we don’t ship to Europe primarily. So our shipments from ESG is an example or primarily sweepers and they primarily go to the Middle East. The Bronto business you might see a drop over next year in orders in Europe buy choice from us for not taking the low margin orders which we took this year. So, the revenue line might be impacted some, but I think the operating income line will be impacted positively in that regard. So, we don’t think of the current slowdown, the Vama Police business is steady and that it hasn’t been robust and we think it's running out of a fair pace that will continue, but beyond that we don’t ship a lot into Europe; we don’t believe that’s going to be a major impact on it. The Bronto machines that are shipped globally to Europe to Asia Pacific are not related at all to energy, they’re related to more safety and industrial safety, both municipal and industrial but we think this will continue because of the demand.
Jennifer Sherman: We’ve also made a number of investments on the Bronto side in North America in terms of appointing a new partner on the fire side. We talked about our new dealer we have on the industrial side and we continue to see growth for Bronto in North America.
Operator: (Operator Instructions). And we’ll go to our next question from Robert Kosowsky with Sidoti.
Robert Kosowsky - Sidoti & Company: I was wondering at ESG, it was obviously really good margin expansion versus last year. And I wonder if you could bucket increased production throughput versus mix versus just some other efficiencies you might have gotten from better vacuum truck production rates?
Dennis Martin: We introduced the brand new production line in April. We advised you last year we launched that new line plan in October of last year, and that new line has really come through in terms of adding additional production. So the production capacity at Vactor’s increased. We also have produced more products out of the Elgin plant. So really the mix is good and also the production the capability you get product off the door, that’s helped us quite a bit.
Robert Kosowsky - Sidoti & Company: Do you see the need to add more production lines now given where your backlog is?
Dennis Martin: We constantly assess that, we’ve made some decisions to introduce a flexible manufacturing model which we talked to you about before but in order to do that we’ve utilized some of our other locations including our Alabama location. And we’re actually adding a facility there, small facility relatively speaking. But it allows us to have additional capacity. So fully utilizing the existing new line we did at Vactor, the new line at Elgin and that other location, we don’t anticipate in next year adding major plant expansion in order to meet the capacity demands. We’re still working on 80/20 stuff and we still think we’ll be able to push the envelope. That doesn’t mean that a few years down the road we may not chose to expand Vactor but I think we still have plenty of capacity at both Elgin in our leads Alabama location our FS Solution Centers in the Vactor, but we need to do there.
Robert Kosowsky - Sidoti & Company: And then finally with ESG, you had pretty tremendous growth on orders. And I'm wondering if you could say what the market was up, whether or not you picked up market share and dimensionalize what was expansion into new markets or new geographies, just if we can get a better sense of how well Federal Signal is performing relative to the market and on some of the initiatives?
Dennis Martin: Talking about market share is extremely tricky because there is no reporting mechanism for us in the markets that we’re dealing with. We do know that the areas that we’re expanding in we’re broadly based through sweepers as well as our hydro-excavating product and even the vacuum truck products. So it’s really just robust activity, oil and gas is driving some of it, the heavy industrial contractors driving some of it and municipals and the sweepers. So it’s a healthy market situation right now Rob, that’s pretty broad based.
Robert Kosowsky - Sidoti & Company: Kind of uniformly across the board. And I'm wondering also just what the impact is of oil coming in as much as it is, if we do see the rig count start to go down, is that going to be a major headwind against growth of orders in the next few quarters?
Dennis Martin: Yes I think our activity; I know our activity is not related as much to installing brand new wells as much as it is in the maintenance and the operations that go on the facilities. So it means it’s yet to be seen, nobody expected oil to drop as low as it did. And I think our overall relationship with the oil and gas industry, Brian is what 10% to 12%?
Brian Cooper: 9%, probably two-thirds of that is -- half to two-thirds of that is the exploration production activity, but as you say even there we’re supplying the maintenance that’s going on after they’re in place.
Dennis Martin: So it’s not major, it’s good for us but it’s not a major. If it shifts up or down in the quarter it’s not going to have a major impact.
Robert Kosowsky - Sidoti & Company: Was that 10% of the segment or 10% of the Company?
Brian Cooper: 9% of our overall revenues are related in one way or another to oil and gas that also includes SSG.
Dennis Martin: Right the industrial safety products.
Brian Cooper: Which is selling oil rigs and refineries.
Jennifer Sherman: And a large percentage of that’s maintenance which is critical.
Operator: (Operator Instructions). And we’ll go to another question from Steve Barger with KeyBanc Capital Markets.
Steve Barger - KeyBanc Capital Markets: With the business on better footing, can you talk about what the key metrics you are managing or incentivizing people on? Is it margin expansion, EPS growth, return on capital?
Dennis Martin: The Company and long-term and short-term incentive programs for all the leadership. And a major portion of our compensation of executives is based on performance of the Company.
Brian Cooper: And we’re very focused on operating income across the Company and on working capital efficiency. So we put measures in around that and around return on invested capital. I think with a lot of the growth in many of our businesses, a lot of focus release on delivering the bottom line and that’s pretty clear for people.
Dennis Martin: We don’t talk about op; we don’t talk about revenue as you know in the calls much. We do care about revenue but it’s really driven in profitable growth strategies. So we do want to grow the business but as I said we haven’t set lofty revenue targets, were really more important than profitable growth towards the right revenue targets.
Jennifer Sherman: Our longer term incentive plan focuses on earnings per share, and this year we introduced return on invested capital.
Dennis Martin: We try to align clearly with the investors.
Steve Barger - KeyBanc Capital Markets: And your net income to free cash flow conversion has been really great. Is that a ratio or something you target and it’s sustainable at these levels from what you can see?
Dennis Martin: We don’t target that specifically and the question of sustainability a lot depends on the economic cycles that we run through. I men businesses were like all other large capital equipment businesses can be subject to big swings in capital markets. And while we expect good performance to continue through the next near quarters, we just don’t know what’s going to happen. So if the market goes into another 2009 kind of downturn, it would be very difficult to show the same conversion to cash that we have experienced. But all things being equal the economy stays strong, we think we’re doing the right things and in terms expanding our customer contacts, our intimacy with the customers and selling more products our efficiencies in the plans and our development of new products. And we think we should continue to be well respected company.
Brian Cooper: And in the face of strong markets as Dennis has been describing most of our internal investment opportunities have really high returns but we don’t need to spend a lot more capital than we have been and part of the reason we’re generating such good cash flow is the tax position where we’re sheltered in U.S. So, we expect that cash flow to continue, but it's not part of what we target people on, we’re targeting them on delivering on business performance and it translates for us.
Dennis Martin: We tend that run a very disciplined process of working on value added activities in the company and our teams do that and we’re more focused on the process sometimes than the hard number, but the result as we get the number.
Jennifer Sherman: With all that being said we’ve talked about our strong backlogs and our visibility into the fourth quarter in the beginning of 2015 and we’re optimistic about 2015.
Steve Barger - KeyBanc Capital Markets: Just one last one for me, there was a really impressive increase in the buyback authorization. Just curious what your thoughts are around the cadence of executing against a new authorization and how are you thinking about your other capital allocation priorities?
Dennis Martin: That will be the fourth priority to buy back stock. It’s there as a tool, we do believe that we will utilize the first three priorities with a much more stringent focus over the near-term, but we wanted to have it out there as one of the tools.
Brian Cooper: Yes, it's one of the tools we’ll use, we’ll tell you a bit less as we find more acquisition opportunity that we like, but we do want to manage our capital structure, so with the cash flow we have we wanted to have that tool available to us also.
Operator: And we have no further questions at this time.
Dennis Martin: Well thank you all for joining us today. And I think you can see in our results and I hope that you can tell from our comments and discussion that Federal Signal is on a good track. Our people continue to work hard, our dealers continue to deliver for us and our customers continue to honor us with their business. We hope this call has helped you answer your key questions. We feel optimistic about our future and we look forward to talking with you again in the next quarter. So thank you very much.
Operator: That concludes today’s conference. We appreciate your participation.